Operator: Good afternoon. Welcome to the Ares Commercial Real Estate Corporation’s Second Quarter June 30, 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. As a reminder, this conference is being recorded on Wednesday, August 2, 2023. I will now turn the call over to Mr. John Stilmar, Managing Director of Investor Relations.
John Stilmar: Good afternoon, everybody, and thank you for joining us on today’s conference call. I’m joined today by our CEO, Bryan Donohoe; our CFO, Tae-Sik Yoon and other members of the management team. In addition to our press release and the 10-Q that we filed with the SEC, we’ve posted an earnings presentation under the Investor Resources section of our website at www.arescre.com. Before we begin, I want to remind everyone that comments made during the course of this conference call and webcast, as well as the accompanying documents contain forward-looking statements and are subject to risks and uncertainties. Many of these forward-looking statements can be identified by the use of words such as anticipates, believes, expects, intend, will, should, may and similar such expressions. These forward-looking statements are based on management’s current expectations of market conditions and management’s judgment. These statements are not guarantees of future performance, conditions or results and involve a number of risks and uncertainties. The company’s actual results could differ materially from those expressed in the forward-looking statements as a result of a number of factors including those listed in its SEC filings. Ares Commercial Real Estate assumes no obligation to update any such forward-looking statements. During this conference call, we’ll refer to certain non-GAAP financial measures. We use these measures as a measure of operations and these measures should not be considered in isolation from or as a substitute for measures prepared in accordance with Generally Accepted Accounting Principles. These measures may not be comparable to like titled measures used by other companies. Now I’d like to turn the call over to our CEO, Bryan Donohoe. Bryan?
Bryan Donohoe: Thanks, John, and good afternoon, everybody. This morning we reported another quarter of solid results as our distributable earnings have continued to benefit from rising interest rates as our unlevered effective yield is nearly 9%. For the second quarter, our distributable earnings fully covered our dividend and we repurchased about 1% of our outstanding shares at pricing which was accretive to our book value per share. We continue to maintain strong levels of liquidity on our balance sheet, which provides us with the opportunity to drive positive outcomes on underperforming properties. Additionally, as we begin to see capital flows and some stability return to certain sectors within the real estate market, our liquidity position and our access to accretive leverage should allow us to opportunistically invest in an increasingly attractive market for new investments. During the second quarter, we focused on proactively managing our portfolio to maximize positive outcomes on our watch list assets. We believe our team’s experience across debt and equity positions us well to navigate these types of environments. Specifically, beginning in 2022, utilizing the market insights we gleaned across the Ares platform in corporate credit and real estate equity led us to reduce our investment activity and focus on enhancing our liquidity, further deleveraging our balance sheet and adding to the strength of our overall capital position. The result of this is a net leverage ratio below 2.0, $215 million of cash and amounts available for us to draw on our working capital facility and no spread-based mark-to-market financing. We believe our balance sheet position provides us with multiple channels to continue to drive shareholder value over the long-term. We believe our capabilities and balance sheet flexibility are illustrated by how we are managing our $83 million senior loan collateralized by a mixed-use property in Florida that we discussed on last quarter’s earnings call. We expect to complete the foreclosure and take the asset as REO in the third quarter. Importantly, we do not anticipate taking a loss or impairment on the foreclosure. As a reminder, the property exhibits stable performance underpinned by a nine-plus-year lease to a AAA-rated government office tenant and well-leased retail space, with the opportunity for our retail equity colleagues to enhance the tenancy and cash flow. Overall, the property is 90% leased and continues to generate cash flow that fully covers current interest payments, given its unlevered cash yield to our position is in the high single digits today. The property has generated strong leasing interest and there are advanced negotiations with several significant tenants that have the potential to materially enhance the already strong cash flow profile of the property. With a healthy cash flow profile and strong leasing momentum, we are optimistic about the future prospects for this property. We believe the breadth of asset management experience available within the Ares real estate platform is a key factor in both evaluating and operating this specific opportunity. We mentioned earlier that we are starting to see some positive indications of stabilization in the commercial real estate market. With this, we believe we will begin to see opportunities for more loan originations. Our strong overall balance sheet position, alongside less competition from banks should provide us with opportunities to provide capital at historically wide spreads and we believe lower than average historical risk profiles. Merger and acquisition activity in the banking sector, capital market stability and a nascent pickup in transaction volume indicates some sign in these markets. With more than $250 billion of unspent U.S. real estate dry powder and continued capital flow from international investors, the backdrop is there for a recovery across most property types. We believe the current opportunity set will only be enhanced by the elevated level of maturities scheduled to occur in the next three years. Given these favorable market dynamics, we’re selectively finding accretive investment opportunities. In the second quarter, we funded $80 million of new borrowings, including a $49 million senior loan commitment for an industrial property with unique cold storage capabilities that create significant barriers to new supply formation. Our ability to provide this financing with meaningful equity behind our loan to a premier sponsor demonstrates the opportunities in today’s lending environment. We are also uniquely positioned to benefit from using available borrowing capacity on our revolving FL3 CLO with the legacy cost of funds, which enhanced the levered yield associated with the opportunities we funded this quarter, including the industrial loans we closed. We also continue to believe that our own stock is a compelling investment opportunity. We repurchased 536,000 shares or about 1% of our outstanding stock for an aggregate purchase price of $4.6 million or $8.58 per share on average. With a renewed $50 million stock repurchase authorization from our Board in July, we are positioned to opportunistically invest further in what we believe is a compelling value in our stock. With that, Tae-Sik, let’s walk through some of our financial highlights and further details on our portfolio and capital position.
Tae-Sik Yoon: Great. Thank you, Bryan, and good afternoon, everyone. For the second quarter of 2023, we reported a GAAP net loss of $2.2 million or $0.04 per common share. This loss was primarily due to a $2.1 million net increase in our CECL provision or about $0.37 per common share. Distributable earnings for the second quarter of 2023 were $19 million or $0.35 per common share, which fully covered both our regular and supplemental dividends. Turning to our portfolio. We ended the quarter with 53 loans held for investment, consisting of 98% senior loans and an outstanding principal balance of $2.3 billion. In terms of our credit metrics, our non-accrual levels were stable quarter-over-quarter and we collected 96% of our contractual interest. 74% of our loan portfolio had a risk rating of three or better, which declined slightly from 78% as of the first quarter of 2023. This change primarily reflects the negative migration of two loans from a risk rating of three to a risk rating of four. The first of these two loans is an $18.7 million senior loan backed by a multifamily property. On our last call, we discussed that this property experienced a payment default early in the second quarter. The property is currently being marketed for sale by the borrower, and based on preliminary indications of value, we expect that the proceeds from the sale will be sufficient to fully cover our loan balance. The second loan that is now risk rated four is a $68.9 million senior loan backed by an office property in North Carolina. The property continues to pay interest and we are currently working to a potential loan modification with the borrower. Our total CECL reserve at June 30, 2023, is at $112 million or about 5% of our outstanding principal balance. Of the $112 million in reserves, 43% or $48 million relates to specific reserves for our two loans that are risk rated five, which together have an outstanding principal balance of $92 million. The $4 million increase in the specific reserve this quarter on these two risk rated five loans was driven by further clarity around the specific outcomes of each ongoing sales process. The specific reserves for these two assets include, a $5.9 million reserve on a $35 million senior loan backed by a hospitality property in the Chicago Metro area and $42.1 million reserve on a $56.9 million senior loan backed by an office property also located in the Chicago Metro area. Let me provide some further details on how our reserves align with our risk ratings. As previously mentioned, we have specific reserves of $48 million on our two loans that are risk rated five, representing 52% of the $92 million in outstanding principal balance. Of the remaining $64 million of general reserves, another $47 million relates to $498 million in outstanding principal balance of our eight loans that are risk rated four, which equates to approximately 9.5% of the total risk rated four loan outstanding principal balance. The remaining $17 million of our total CECL reserve relates to the $1.7 billion of loans that are rated three or better, equal to about 1% of the outstanding principal balance. As Bryan referenced, we remain in a strong liquidity position with more than $215 million of available capital as of June 30, 2023, including $143 million in cash and further amounts available for us to draw on our working capital facility. Our net debt-to-equity ratio was stable at 1.9 times as of June 30, 2023, providing us additional balance sheet strength and flexibility. We also extended our $250 million Morgan Stanley credit facility to July 2025 and with no material changes to terms and pricing. As a result, none of our secured financing facilities that we currently have drawn upon have initial maturities before 2025 and none of our financing is from spread-based mark-to-market sources. Before I turn the call back over to Bryan, let me discuss our recent dividend announcement. We are very pleased to have been able to distribute to our shareholders a portion of the earnings benefit we derived from LIBOR floors on our loans and interest rate swaps on our liabilities by paying out $0.02 per quarter in supplemental dividends. Since the first quarter of 2021 and for 10 consecutive quarters, we have paid out more than $10 million to our shareholders in the form of supplemental dividends, all on top of our $0.33 per quarter regular base dividend, which during the same period totaled $165 million. In comparison, again, since the first quarter of 2021, our aggregate distributable earnings were $181 million, meaning that we fully covered both our regular and supplemental dividends. As we forecasted and in accordance with business plan, the LIBOR floors on our loans are no longer in the money and our interest rate swaps have mostly wind down. After careful consideration, going forward, we believe that it is in the best interest of ACRE and our shareholders that rather than continuing to pay the supplemental $0.02 per quarter dividend that we instead focus on preserving capital to provide us with the opportunity to make further common share repurchases and originate new loan investments. In fact, as you heard from Bryan, during this past quarter, we already repurchased $4.6 million of our common shares, which in dollar terms, represents more than four quarters of paying out the $0.02 per quarter in supplemental dividends. With that, let me turn the call back over to Bryan for some closing remarks.
Bryan Donohoe: Thanks so much, Tae-Sik. We believe we’re making steady progress on resolving our underperforming assets, and our liquidity and balance sheet provide us with great optionality. We believe we can leverage the significant experience of the Ares platform to support underperforming assets and be more proactive in investing in the growing market opportunity. We continue to believe it will take time for this cycle to play out and recognize there will be challenges ahead. But because of these many advantages, we believe we are well positioned to maximize outcomes and continue to deliver attractive shareholder returns on the other side of this cycle. Let me close by saying that we are deeply grateful to our investors for the trust and confidence they’ve demonstrated in Ares and their support of the company. I’d also like to thank our entire team for their hard work and dedication. With that, I’ll ask the Operator to open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Rick Shane with JPMorgan. Please proceed with your question.
Rick Shane: Hello. Thanks for taking my question this morning. Look, I think, we’re all trying to get a sense of where we are in the credit cycle. It feels early. We’re starting to see this quarter a higher frequency of realized losses within portfolios. Based upon your experience in previous cycles, how long -- and again, trying to gauge on a quarter-by-quarter basis is almost impossible, but how long do you think this will persist? Is it a one-year headwind? Is it a two-year headwind in terms of realized losses?
Bryan Donohoe: I appreciate the question. I think it is there are some unique attributes to this cycle and I think we’ve mentioned this in prior quarters. But normally what we’d see at the onset of credit cycles would be issues in the corporate market lead and then kind of the commercial real estate market follow. And given the rapid rise in rates, I think you’re seeing a little bit of a simulation there where you’ve seen corporate deterioration to some degree, but also a more rapid increase in some commercial real estate assets having some of those issues in real time. So fairly unique in that regard. I’d say overarching though, despite the rising rates, which has that gravitational effect on all assets that are levered, outside of the office sector, you’re continuing to see strong fundamentals underlying or underpinning asset performance. So to your specific question on timing, are hoping what we’re seeing is an acceptance of this rise in rates just being part and parcel with the market landscape, and hopefully, a quicker resolution on certain assets as you really pick through the winners and losers in the office sector and continued performance of other asset classes that weren’t over levered. So I wish I could be more specific in predicting it, but I think 12 months to 18 months would be a good assumption from here.
Rick Shane: Great. I appreciate that. Thank you.
Operator: Our next question comes from the line of Sarah Barcomb with BTIG. Please proceed with your question.
Sarah Barcomb: Hi, everyone. So I was just hoping we could touch on the office portfolio for a minute. Do you think you could speak to the leasing momentum that you’re seeing at those properties? Are there any specific properties worth highlighting that have had good news leasing, or on the other side, maybe were there significant upcoming expirations or move-outs, anything specific you can give us there?
Bryan Donohoe: The specifics will be tough. I appreciate the question. I think we have seen generally increased traffic for -- again, I mentioned in my prior answer, the winners and the broad landscape of office and you’re seeing some of the equity office REITs reporting with some similar narratives, and certainly, you’ve seen capital flows return in some elements of scale to Class A institutional assets. On the leasing side, I’d say a couple of things. We are seeing increased foot traffic, things like that around certain assets. That’s coupled with a bit of a headwind in terms of leasing costs that have also increased. So we’re balancing those two factors. But certainly, it feels like -- I don’t have empirical data to point to here, but from a utilization standpoint, it feels like we may have troughed in terms of people going to work and it feels like especially post Labor Day, the momentum is there for more utilization. And while the rightsizing of some of these structures and leases will take some time, it feels like we’re finding some direction and footing broadly in the office market.
Sarah Barcomb: Okay. And then apologies if you -- if I missed this if you already spoke to it, but just trying to gauge the timing and I know this is a bit difficult to do. But on that the $42 million specific reserve on the office asset and the $6 million reserve on the hotel, when do you think those could manifest into charge-offs and maybe even just relative to each other roughly? Did you give any detail there?
Tae-Sik Yoon: Sure. Good question, Sarah. This is Tae-Sik. In terms of the hotel loan, again, I think, we’re further along in that process and we’re hopeful to resolve that really in the third quarter. Again, just to note of caution, of course, that during these times, transactions are a little less predictable in terms of timing, but we believe we’re on track for third quarter. With respect to the office loan, that’s also a risk rated five in Chicago. Again, I think we’re in a little bit of an earlier stage on that process. Again, we are working very, very diligently to resolve that. It’s probably going to be towards year-end, if not heading into early 2024. So we’re probably, call it, six months out, plus or minus. It’s very unlikely to be a third quarter event for that office property, if that’s helpful.
Sarah Barcomb: Okay. Great. Thank you.
Operator: Our next question comes from the line of Doug Harter with Credit Suisse. Please proceed with your question.
Doug Harter: Thanks. You talked about the potential to see some new loan activity. Can you potentially size that, would you expect to grow the balance sheet or is this more maintain the size? And how are you thinking about where leverage levels can go if those opportunities come to fruition?
Bryan Donohoe: Yeah. Absolutely. I’ll start and I’ll let Tae-Sik chime in as well. I think you saw in our prepared remarks, the single origination that we did see this quarter. And the commentary that it does feel like there’s starting to be more of an opportunity set for us and more stability around valuation and each of those things should be contributing factors. I think the fact that we’ve got additional leverage available to us, both through potentially increasing from our sub-2.0, but also the FL3 legacy CLO that we work with, which is extremely accretive leverage, especially given the rise in spreads that we’ve seen over the past 18 or so months. I wouldn’t say that the market is in equilibrium yet, so it will be more sporadic in nature. But I think you can assume a further increase throughout the following couple of quarters as buyers and sellers of real estate come to agreement on price and also just that maturity wall that has been well advertised, I think, as kind of a headline risk, but we really see it as an opportunity. So what we will focus on, just to add a little bit finer point, are kind of going up in credit. So the spread associated with the loan that we made this quarter was probably a significant increase from where it would have been 18 months, 24 months ago, but south of what’s available in the market, just given the credit metrics associated with it. But when combined with the legacy liability structure, it produces a really interesting yield premium to historical norms. So I wouldn’t say it’s a normalized market, but I think you can expect more of the same moving forward from here.
Doug Harter: Great. Thanks, Bryan.
Operator: Our next question comes from the line of Steve DeLaney with JMP Securities. Please proceed with your question.
Steve DeLaney: Hi, everyone. Thanks for taking the question. I wanted to talk a little more about the Florida mixed-use property that you anticipate for closing on. Just to be clear, you indicated no impairment. So does that imply there’s no specific reserve on this particular property at this time?
Tae-Sik Yoon: Steve, thank you very much for your question. That is correct. Again, this is a loan that we have been working very, very closely on, of course. And as we mentioned, this property is performing we believe very well with strong tenancy and cash flow. So we do not have any material specific reserve against this asset. And we believe that when we do take an REO that we will not recognize any fair value loss upon it converting to an REO asset…
Steve DeLaney: Okay. So it sounds like this is not going to be a take back and flip situation though, from Bryan’s comments, I gathered that your equity people, asset management people have some thoughts about how to enhance the value. So if that’s correct, should we think of this more like the hotel in Westchester that you took back a few years ago and managed that back to a profitable outcome and I think that was a matter of two years or three years. This -- sounds like maybe this won’t take that long. Just a little color around that would be helpful?
Bryan Donohoe: Yeah. I think there’s a little bit of subjectivity to it. But I think your general approach is correct. Our hope would be to resolve it more quickly than the Westchester Marriott situation. But as we indicated in our remarks, we are seeing some potential to improve on the cash flow and ultimate value resolution here and the retail team that sits more generally with our equity investment vehicles, but to bring them to bear on this asset, we think can be accretive and so we think there’s some value creation out there. That said, we remember our charter, as we’ve touched on in previous quarters, we want to get back to a core lending vehicle and let our equity colleagues on assets. So I think you’ll see us resolve this as expeditiously as possible, especially if we can increase that revenue side and see some normalization of capital markets treatment of high cash flowing assets like this.
Steve DeLaney: That’s helpful, Bryan. Thank you. So just looking, you mentioned core lending activities. How would you characterize your current appetite for new loans, taking advantage of some of the higher yields that are likely available? Are you thinking just lend sufficiently to cover your repayments that are coming in or is there room to slightly grow the portfolio on a net basis here over the next couple of quarters?
Bryan Donohoe: I think the approach we’re going to take philosophically is selectively opportunistic.
Steve DeLaney: Okay.
Bryan Donohoe: We are starting to see more opportunities come across the transom and when they fit the narrative and the risk profile we want to achieve, then you’ll see us seek out those types of opportunities, and hopefully, the result of that will be portfolio growth owing to, again, the equity position we sit with, as well as the leverage available to us. Tough to predict. This has been some ebbs and flows in our market generally. But as we’ve said, the optionality that we feel we’ve created by positioning the balance sheet as we have should allow us to take advantage of what we see coming over the coming months.
Steve DeLaney: Okay.
Tae-Sik Yoon: Steve, maybe just put some numbers to what Bryan said.
Steve DeLaney: Yes.
Tae-Sik Yoon: Yeah. I’m sorry. Just to put some numbers to what Bryan said. We do believe that we have balance sheet room to incrementally grow the balance sheet and not just redeploy repayments, given the liquidity levels that we have today, we probably have capacity, call it, in the $300 million to $400 million senior loan capacity. So we do have room in the balance sheet to grow incrementally from here.
Steve DeLaney: Excellent point. Thank you. We’ll keep that in mind when we model going forward. And just lastly, I just want to say, applaud the buyback. I think at this point in the market where stocks are trading, I think, it’s just way more effective use of that capital for the benefit of the shareholders and more so than the $0.02 supplemental. So thank you for the buyback activity and that’s all for me.
Bryan Donohoe: Appreciate it. Thank you. Thank you for that, Steve.
Operator: Our next question comes from the line of Jade Rahmani with KBW. Please proceed with your question.
Jade Rahmani: Thank you very much. Just wanted to ask about liability management. When you think about REO, the property you’re going to take into REO and anything else sub-performing loans or REO. Do you anticipate financing those, do your current facilities accommodate financing those or are you going to pursue a separate facility to fund those kinds of assets?
Bryan Donohoe: Yeah. Thanks, James. I appreciate the question. I think the general approach would be that, we will seek out bespoke financing for assets like that with the overlay that our lending partners have been very accommodating and flexible as we work through and put the proper structure in place. The knowledge transfer that, as you’d expect occurs, as you get closer to taking some of the REO is significant and can lead to more efficient financing as you map out that business plan. So the good part is we’re not necessarily in a rush owing to our existing financing counterparties pushing us in one direction, but we do think there’s going to be some leverage pickup available to us as we work through and bring our own expertise to bear on some of these assets. So a bit of a hybrid, but I think you could expect us, ultimately, to the extent that we think we’re going to hold something for a longer period of time, I think, outside of 12 months, then we will seek out specific financing for that asset.
Jade Rahmani: And if you were funding performing loan at, say, 70% on a credit facility, what proportionately would change? Clearly, you have the fair value of the collateral, but let’s just say, there is a hit to the value of the collateral. Are you still able to fund that at 70%?
Bryan Donohoe: I think there’s a cost benefit analysis associated with. I think there certainly is leverage available for certain assets in that range. When we think about what we’re trying to achieve here, which is, ultimately, a sound balance sheet and dividend coverage, we may seek out a lower leverage option if the pricing, so what we see in these interrupted or disintermediated markets like we have around us generally is there’s some gaps between an asset that might fit, for instance, in a life insurance company bucket versus CMBS versus an alternative lender. And when those gaps exist, you just simply need to measure the incremental cost of capital versus the liquidity profile of the individual position. So we’ll balance all that, but certainly, we believe that there is ample debt market capacity for the types of assets we’re talking about today.
Tae-Sik Yoon: And Jada, maybe just to add to Bryan’s comments. Again, I think, one of the advantages we have with our balance sheet is just given our liquidity profile, not that, that is what we intend to do or hope to do, but certainly, we would have the balance sheet strength to hold some of the assets, either unlevered or some period or at a lower leverage level than what we previously financed the loan for. So again, that is one of the reasons we have maintained the liquidity levels was to provide us this maximum flexibility so that we can, again, work towards maximizing value when we have to work out an underperforming asset.
Jade Rahmani: Okay. And then recently, I think, there’s been some chatter in various industry publications about a pickup in securitization, as well as potential for CLOs to offer financing of nonperforming loans or sub-performing collateral. And I was wondering if you are viewing that as a potential way to -- I don’t know what the right term is, but sort of ring fence or put a circle around the downside risk in those kinds of assets, which would better allow the company to go on offense.
Bryan Donohoe: Yeah. I think what you’ve seen us execute on historically, Jade, has been a pretty diverse set of financing structures. Certainly, we’ve utilized CLOs, we’ve utilized warehouse, A notes, et cetera, and absolutely aware that the preference of private capital in the capital markets alongside some stability in rates is allowing for structured resolutions. And we would absolutely keep that on the menu as we seek to resolve some of these assets. I think pretty early days in terms of the resurgence of the CLO market. But alongside general transaction activity, it’s tough to say that, it’s not at least a hint of green shoots to come with that stability. So I agree it should be something to certainly consider and pursue 
Jade Rahmani: Thank you.
Bryan Donohoe: Thanks, Jade.
Operator: And our next question comes from the line of Derek Hewett with Bank of America. Please proceed with your question.
Derek Hewett: Good afternoon, everyone. The Morgan Stanley facility was recently extended to mid-2025. So from a high level, are you seeing any change in the risk tolerance from your counterparties, especially since we saw the regional bank crisis earlier this year. And for example, was there any change in the Morgan Stanley terms, whether it be spreads, advance rates or potentially other restricted covenants?
Bryan Donohoe: Derek, thanks so much for your question. Maybe on the second part of your question, no, there were no real material changes to the terms. Again, we extended it out to July 2025. In addition, we have a one-year extension option built in even after that. But really no material change in the terms of the $250 million facility. In response to maybe your first part of your question about appetite for credit risk, appetite to accept certain types of loans. I think one of the big benefits of that we have diversified our funding sources and really focused on what we consider to be major money center banks with whom Ares overall have excellent relationship. I think we’ve enjoyed a very stable relationship with each of our lenders and while each of the lenders are obviously reacting to what’s going on in the market, we do believe that we’ll continue to see very strong acceptance of the type of loans that we do as collateral for our funding facilities. Clearly, if we brought them a loan today that is in one of the more difficult sectors like office, for example, I think, we would all have a little bit of challenges in that context. But overall, while there is a tighter credit bucket overall, we do think that our warehouse lender, lending capacity is not a limiting factor in terms of us originating new loans.
Derek Hewett: Thank you.
Bryan Donohoe: Thank you.
Operator: And we have reached the end of the question-and-answer session. I’ll turn the call back over to Bryan Donohoe for closing remarks.
Bryan Donohoe: Thank you and I’d just like to thank everybody for their time today. We certainly appreciate the continued support of Ares Commercial Real Estate and we look forward to speaking to you again on our next earnings call. Thanks for the time.
Operator: Ladies and gentlemen, this concludes our conference call for today. If you missed any part of today’s call, an archived replay of this conference call will be available approximately 1 hour after the end of this call through September 2, 2023 to domestic callers by dialing 877-660-6853 and the international calls by dialing 201-612-7415. For all replays, please reference conference nu13738843. An archived replay will also be available on a webcast link located on the home page of the Investor Resources section of our website.